Operator: Greetings. Welcome to Gannett Company, Inc. Q1 2024 Earnings Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Matt Esposito, Head of Investor Relations. You may begin. 
Matthew Esposito: Thank you. Good morning, everyone, and thank you for joining our call today to discuss Gannett's first quarter 2024 financial results. Presenting on today's call will be Mike Reed, Chairman and Chief Executive Officer; Doug Horne, Chief Financial Officer; Kristin Roberts, Chief Content Officer; and Chris Cho, President of Digital Marketing Solutions. If you navigate to the Gannett website, you will find that we have posted an earnings supplement in addition to our earlier press release. We will be referencing it today on the call, as it provides you with additional detail on this quarter's performance. Before we begin, please let me remind you that this call is being recorded. In addition, certain statements made during this call are, or may be deemed to be forward-looking statements, including those with respect to future results and events and are based upon current expectations. These statements involve risks and uncertainties that may cause actual results and events to differ materially from those discussed today. We encourage you to read the cautionary statement regarding forward-looking statements in the earnings supplement as well as the risk factors described in Gannett's filings made with the Securities and Exchange Commission. Except as required by law, we undertake no obligation to publicly update or correct any of the forward-looking statements made during this call. In addition, we will be discussing non-GAAP financial information during the call, including same-store revenues, free cash flow, adjusted EBITDA, adjusted EBITDA margin and adjusted net income attributable to Gannett. You can find reconciliations of our non-GAAP measures to the most comparable U.S. GAAP measures in the earnings supplement. Lastly, I would like to remind you that nothing on this call constitutes an offer to sell, or solicitation of an offer to purchase, any interest in Gannett. The webcast and audio cast are copyrighted material of Gannett and may not be duplicated, reproduced or rebroadcasted without prior written consent. With that, I would like to turn the call over to Mike Reed, Gannett's Chairman and CEO. 
Michael Reed: Thank you, Matt, and good morning, and thank you for joining Gannett's 2024 first quarter earnings call. Gannett had an excellent start to the year. In our last call, we laid out our expected path to growth. We told you that we would meaningfully improve total revenue trends through digital revenue growth, and that is reflected in our Q1 results. As you will hear throughout the call this morning, our momentum continues to build, and we believe our first quarter results have set the tone for a promising 2024. Year-over-year revenue trends were a bright spot in the quarter, reflecting the most pronounced sequential trend improvement in nearly 3 years. Our top-line improvement was fueled by the solid growth in digital revenues, up 8% year-over-year, and quickly approaching our guidance of over 10% growth this year. As a result, digital revenues accounted for over 42% of total revenues in the first quarter, representing an all-time high. In the first quarter, each of our digital revenue streams grew year-over-year as we executed on our expanded monetization strategy. Audience and engagement grew, driving growth in digital advertising. New highs in digital-only subscription ARPU helped drive digital-only subscription revenue growth, and our DMS business returned to growth, and our partnership revenue continued to scale, nearly doubling over the prior year. In addition to our top-line momentum, we drove a marked improvement in free cash flow versus the prior year period, along with improved sequential year-over-year trends in adjusted EBITDA, which we believe positioned us well for full-year adjusted EBITDA and free cash flow growth. We also continue to optimize our capital structure and maintain a strong balance sheet, evidenced by a solid cash position, further debt repayment, and firstly net leverage of 2x at the end of the quarter. As we look ahead, based on the performance we are seeing in our business today, we remain optimistic and expect that we will exit the year with total revenues growing over the prior year. We believe our strong execution is achieving the results we had anticipated, and therefore we are reaffirming our full-year business outlook. With that, I'd like to discuss the key operational highlights from the first quarter. As we outlined last year, our digital revenue strategy is rooted in audience expansion and increased engagement, as well as diversified monetization along the customer journey. We continue to serve an engaged digital audience with 187 million average monthly unique visitors in the first quarter, and page views growing more than 10% over the prior year period. We believe this growing audience and increased engagement offers us great potential for diversified, predictable, and repeatable digital revenue growth. This focus on the overall monetization of our audience has delivered positive results across each of our digital businesses in Q1. One area worth highlighting is our digital-only subscription business. In Q1, digital-only subscription revenue and digital-only ARPU achieved new highs with growth rates exceeding 20% compared to the first quarter of the prior year. Digital-only paid subscriptions surpassed $2 million in Q1, marking the third consecutive quarter of sequential growth. We expect digital-only paid subscriptions to return to year-over-year growth in the second quarter. In addition to our digital-only subscription business, we are seeing great traction with our partnerships. The partnerships announced in 2023 have created a new digital revenue stream with significant potential and at a very high margin. While we are still in the early stages of scale, we are encouraged by the growth observed across the portfolio, which has immediately contributed to our earnings and free cash flow. These partnerships have allowed us to reach a broader audience and increase the overall monetization of our platform. As a reminder, we expect to generate approximately $20 million in this high-margin digital revenue category in 2024. Equally impressive, our digital advertising business sustained its growth trajectory in Q1, thanks to the solid execution of our revitalized content strategy. Central to that strategy is our commitment to driving audience growth and engagement by delivering broad content experiences to our consumers. Kristin Roberts and her team have played a crucial role on this front. Their initiatives and investments around audience expansion and increased engagement have led to notable gains in page views and readership per story. I will now hand it over to Kristin to discuss the momentum we are seeing on the content side. Kristin? 
Kristin Roberts: Thank you, Mike. We are off to an incredible start in 2024. We're executing on our strategy to rapidly expand our audience and content, amplify our journalism, and drive diversified revenue streams. Simply put, we believe we're delivering on the things we said we would do. Our newsrooms continue to demonstrate for audiences nationwide that we are the preferred platform for relevant and essential content. The outcome, 8 consecutive months of at least 1 billion page views at USA Today and the USA Today Network, as well as meaningful growth and engagement. None of this was by chance. It is a direct result of our collaborative work to anticipate and deliver the journalism and information that our readers, viewers, and listener wanted. As I outlined on our last call, this year's focus is about engagement. A crucial element of engaging a highly monetizable audience involves understanding their preferences and creating standout experiences around the topics they love. This includes entertainment updates, guides to living your best life, and multi-platform experiences based on content we are already creating. We're also doubling down on highly successful verticals, such as sports, where we serve approximately 50 million average monthly unique visitors, according to March 2024 ComScore media metrics. This comprehensive approach provides diverse, engaging content that caters to the wide range of interests within our audience, which is expected to further solidify our position as a market leader in consumer reach. We're also making a strategic shift into video, which not only captures the audience where they are, but is expected to allow us to further grow our diversified digital revenue streams. One way we're leveraging this opportunity is by bringing together our content monetization and video teams. The creation of a unified video team is expected to enhance our position to reach new audiences and improve our video monetization through expanded, locally relevant content. We believe this opportunity is significant, and I look forward to providing additional updates on our video strategy in future calls. To recap, our progress in the first quarter was a total team effort, and I want to express my sincere gratitude to the entire content team. It's early, and we have important work ahead of us to sustain this momentum, but as I said earlier, we believe we are executing on our strategy. Back to you, Mike. 
Michael Reed: Thank you, Kristin. It is great to see the outstanding audience results, which are expected to unlock additional revenue opportunities throughout 2024. I'll now hand it over to Chris to provide an update on the positive developments we are seeing across our DMS business. Chris? 
Chris Cho: Thank you, Mike. Overall, I am pleased with the first quarter performance of our DMS business. We are executing on our strategy, and we believe we are well positioned to capitalize on this momentum moving forward. DMS revenue rebounded in the first quarter and was up 3.7% over the same period in the prior year, ahead of the 1% to 2% expectations we expressed on last quarter's call. The strength in revenues was primarily fueled by a strong rebound in our largest vertical, Home Services. While average customer count contracted in Q1 due to higher churn among our lower ARPU customers, we continue to retain and grow accounts that align with our ideal customer profile. As a result, core platform ARPU experienced robust growth as well as a new high in the quarter. As discussed in our previous earnings call, we are expanding our product portfolio with AI-powered solutions that we believe will increase our total addressable market and core platform revenues. I'm excited to share that we recently launched our first AI-powered CRM toolset in a private beta for 30 exclusive customers, and we expect to further expand into a public beta and subsequently monetize against this toolset. This marks the first milestone in our product expansion journey as we continue to strengthen the LOCALiQ value proposition for our customers. Overall, I am delighted with the return to revenue growth, rising ARPU, and higher retention rates we experienced in the first quarter, as well as the remaining opportunities for our DMS business. As we continue to execute on our fundamentals and expand our AI-powered solutions product suite, we believe we can establish a sustainable digital marketing solutions company that remains true to our mission of enriching the businesses we serve. Mike? 
Michael Reed: Thank you, Chris. It is encouraging to see our DMS business start the year with solid execution. The innovation your team is driving through AI-powered solutions reinforces the optimism we have for the business and its potential for growth. Overall, our solid first quarter performance has set a promising tone for the year ahead. We are confident and believe in our business trajectory and look forward to building on the success throughout the year. With that, I will now turn the call to Doug to provide additional detail and color around our 2024 first quarter financials. Doug? 
Douglas E. Horne: Thank you, Mike, and good morning, everyone. As Mike mentioned, we are very pleased by our business momentum and the progress we made in the first quarter, which is evident in our financial results. Before going through the details, I want to highlight that we have modified our revenue presentation and our financial reports to better align with how we look at the business and internally manage our revenue streams. Our updated revenue breakdown consists of 2 main categories; total digital revenues and print and commercial revenues. Digital revenues include digitally served advertising, marketing services, subscription, and other, which includes syndication, affiliate partnership, and licensing. Print and commercial revenues include print advertising, print circulation, as well as commercial and other. We believe this revised format provides greater transparency into our evolving business model, the performance of our digital businesses, and the key components we believe are needed to drive our achievement of the revenue growth inflection point we expect as we exit 2024. Let's move to our consolidated results. Please keep in mind all comparisons are on a year-over-year basis unless otherwise noted. For Q1, total operating revenues were $635.8 million, a decrease of 5%. This represents a 340 basis point improvement from Q4 revenue trends, marking 5 consecutive quarters of top-line trend improvement. The strength in revenue was primarily driven by the expansion of our digital revenues, which demonstrated robust growth compared to the prior year. Adjusted EBITDA totaled $57.6 million in the first quarter. Adjusted EBITDA margin in Q1 was 9.1% and relatively unchanged from the prior year. While adjusted EBITDA declined as we had forecasted, our year-over-year trend saw sequential improvement, and we are planning for a return to growth in the second half of the year driven by continued improvement in revenue trends, as well as prudent cost management. Expense management remains a key piece of our success story. And in Q1, our adjusted operating expenses declined compared to the prior year. On the bottom line, we ended the first quarter with a net loss of $84.8 million and an adjusted net loss of $36.4 million. Our net loss reflects the expected $46 million asset impairment associated with the company's exit from its leased McLean, Virginia facility. It's important to note, however, that this does not impact our free cash flow. Digital revenues in Q1 were $267.5 million, up 8.1%, representing the fourth consecutive quarter of growth. Within digital revenues, digital advertising grew 5.3% in Q1 due to solid performance in our programmatic business, fueled by the increase in platform page views, as well as rebounding CPMs. Our digital-only subscription revenue growth remained strong, with increased subscriptions on a sequential basis and meaningful year-over-year growth in digital-only ARPU. In Q1, our digital-only subscription revenue reached a high of $43.5 million, growing 21.3%. The company's digital-only ARPU also reached a new high of $7.22, increasing 22.4% year-over-year. One important operating element continues to be optimizing our print and commercial revenue business. We continue to focus on improving the overall trends in our legacy revenue streams, which is why we continue to strengthen the overall quality and value proposition of our print product. These initiatives are already showing returns with positive feedback from our customers. As a result of our efforts, our overall print trends saw sequential improvement in Q1, and we expect to continue this momentum moving forward. Looking at the Domestic Gannett Media segment, in Q1, adjusted EBITDA of $44.5 million was up slightly, and adjusted EBITDA margin grew 60 basis points compared to the prior year. For Q1, our total revenues decreased 6.5%, representing a sequential improvement of 380 basis points, and demonstrates solid growth across each of our digital revenue streams. Turning to Newsquest. For Q1, adjusted EBITDA in this segment was $14.2 million, up 10.3%, and adjusted EBITDA margins grew 180 basis points to 23.5%. For Q1, total revenues grew 1.8% compared to the prior year. As we've discussed previously, please keep in mind that the Newsquest margins differ from our Gannett Media margins as a result of strategic differences in the print distribution model. In our Digital Marketing Solutions business, total core platform revenue in the first quarter was $116.1 million, representing an increase of 4.2%. Adjusted EBITDA for this segment was $8.8 million, representing a margin of 7.5%. We had approximately 14,300 core platform customers, with core platform ARPU reaching a new high and increasing 6.4% over the prior year. Additionally, budget retention saw an increase of 40 basis points year-over-year, reaching approximately 96%. At the end of the first quarter, our cash balance stood at $93.3 million, and our outstanding net debt was approximately $1 billion. Cash provided by operating activities in Q1 was $22.5 million, up $15.1 million. We also grew our fee cash flow from a use of $2.1 million in the prior quarter to a source of $9.5 million. We ended Q1 with approximately $1.1 billion of total debt, reflecting $16.3 million of total debt paydown for the quarter. During April, we retired the remaining $3.3 million balance of our 2024 convertible notes and repaid $2.4 million of our term loan using the proceeds from recent asset sales. Debt repayment remains our priority, and we will continue to focus on reducing our first lien net leverage, which remained at 2x in Q1. Before wrapping up, I just want to reiterate how excited we are about our performance in the first quarter. We believe our solid results reflect sustained momentum across our business, further validates our strategic plan, and represents just the beginning of the value we expect to generate for the year. I will now hand it back to the operator for questions, and then we will go back to Mike for some closing thoughts. 
Operator: [Operator Instructions] Your first question for today is from Giuliano Bologna with Compass Point. 
Giuliano Anderes-Bologna: It's great to see solid results and good progress on a lot of the strategic initiatives. As a first question, it looks like your total revenue deceleration went from minus 8% to minus 5% sequentially. You're kind of improved roughly 300 base points in the last quarter. I'm curious what caused that? And how do you see that -- and do you see that trend continuing throughout the year? 
Michael Reed: Yes. It was a really great quarter. We're really pleased with the progress we made across the board really. But as it relates specifically to revenue, we did make great progress in the first quarter, and we actually expect that progress to continue on a steady pace through the remainder of the year. The thing about the first quarter being so strong gives us even more confidence in our expectation to obtain revenue growth as we exit the year. From here, from the first quarter, we expect about 1 to 1.5 points of further trend improvement each quarter, which will lead to revenue growth as we exit the year. And importantly, Giuliano, we expect digital revenue to be the main contributor to the continued improvement in trend, and we do expect our digital revenues to surpass 10% growth this year. So we're pleased with where we are and what the next 3 quarters look like. 
Giuliano Anderes-Bologna: And you may have kind of jumped into what I was going to point out and ask you next, but digital revenue growth, I think, went from 2% to 8% in the last quarter, 2 quarters. I'm curious what really drove that. And obviously, I'm glad that can continue to the extent that you're referring to, call it 10% plus. I'm kind of curious about cadence and how that could unfold throughout the year. 
Michael Reed: Yes. Our Q1 digital revenue growth was actually a bit stronger than we had anticipated as we went into the quarter. But -- so that was great to see and gives us even more confidence on the guidance we've given for the year. The other real positive about our digital revenue growth is we saw the drivers be across the board in terms of the different revenue strategies we have, the different revenue categories we have. And that gives us a lot more confidence as the year goes on as well. So the drivers that drove the drivers for Q1 will be the same engines that fuel the remainder of the year. So, for example, our advertising growth was strong and that digital advertising growth was strong. That came from overall page view growth and better monetization of those pages. As we continue to scale the audience in our engagement with that audience, as you heard from Kristin today with our content strategy, we expect that to continue to grow and improve. We also -- we have continued upside on our digital-only subscription revenue, which we had a strong first quarter, but we see continued improvement there through both volume growth as well as pricing opportunities. And third, our DMS revenue returned to growth in the first quarter. We actually outperformed our expectations there with a good first quarter. And as we continue to expand both the product suite and importantly, our expertise into additional verticals, that gives us a lot of confidence that we'll continue to accelerate the revenue growth in that category. And then, finally, I would say our partnership revenue scaling and performing as we expected. We expect that category to be a double this year, reaching $20 million. And just a reminder, that comes with 90-plus percent EBITDA margins. So, really, across the board, strong performance that will continue to fuel the growth through the remainder of the year. 
Giuliano Anderes-Bologna: Yes. And based on the prepared remarks on the DMS side, it seems like there's a big new software AI product launch that's coming soon. Can you give us a little more detail about the product and the market opportunity and what problems you're solving for small businesses there? 
Michael Reed: Yes. Yes, sir. I'm going to ask Chris Cho, who runs our DMS business and is the creator of the product to shed some light on that for us. 
Chris Cho: Yes. I'd be happy to. So, we are focused on creating products that have additive values to our existing Digital Marketing Solutions. And in our conversations with customers, their largest pinpoints are managing and responding to the volume of leads generated as well as understanding the value and priority of the leads that we deliver. So, we have developed and are now debuting our AI-powered CRM solution, which solves these pain points. Over time, our plan is to monetize the software solution and make it commercial --commercially available more broadly. We're in beta testing right now, and we've seen a super positive reception for early features. And as we continue on our journey, we look forward to sharing more details on what our AI-powered CRM solution can offer. 
Giuliano Anderes-Bologna: Then just thinking about on the free cash flow side, that also came in above my estimates, and it looks like there's also been consensus in the week quarter and first quarter. I'm curious how do you feel about the tracking for the full year based on your guidance? 
Douglas E. Horne: This is Doug. I would say, we're right where we want to be. We are feeling very confident based upon Q1 results in terms of the full year outlook that we reaffirmed this morning. When you think about free cash flow, we had an increase in free cash flow in Q1, which is typically just from a seasonal perspective, a little bit of a weaker period. So, that was good. And we still expect on a full year basis to grow our free cash flow. And I would say the same from an EBITDA perspective, you saw the trends really improved quarter to quarter. We expect that to continue through the year and overall have EBITDA growth as we've guided to. So, we feel very good about where we sit today. 
Giuliano Anderes-Bologna: And then kind of switching back over to a little bit onto the digital subscription side, volumes seem to be back on track in terms of adding users, obviously growing ARPU, and I'm curious how you feel about the trend there kind of returning to digital sub growth, obviously, having some pretty impressive ARPU trends, and how that should evolve throughout the year? 
Douglas E. Horne: Yes. Absolutely. We feel really good about where we sit right now. And it really goes back to actions we took in the prior year to refocus our acquisition efforts around the digital subs and to make sure that we were growing more of a long-term subscriber base. And you're seeing the results of the actions we took last year kind of transpire in our results right now. And we think we have opportunity to grow both volume and ARPU. And so from a revenue contribution perspective, we expect the digital-only subscriber revenue stream to contribute be a significant contributor to that digital growth, both in the near term and long-term. And when you think about kind of the drivers there, from a local market perspective, we feel like we still have opportunity to further penetrate the market. Also from a pricing perspective, we feel like we're still underpriced relative to the market. And so there's both opportunity in both those categories as well as all of the improvements from a content perspective. And that local focus supplemented with broader content has really made a positive impact. And Kristin and the team have really helped us from that perspective. So, overall, we feel great about the digital-only subscribers and the opportunity to grow that near term and long-term. 
Giuliano Anderes-Bologna: And then looking on -- it looks like you posted some good grip on audience and page views. I'm curious similar to everything else what's driving that? And if there's anything new on the initial side that's driving that and in a sense if there's anything on the comment, we continue to drive that further there? 
Michael Reed: Kristin, can you take that? 
Kristin Roberts: Sure. I'm happy to. And thanks, I love this question. We're engineering growth in audience, right? And we're seeing it take hold in so many parts of the content organization. So, our local markets have been incredibly focused on being local, on being really relentlessly focused on their topic selection, making sure that that's local on their local service journalism. And that's going to expand through the remainder of the year. We'll see that in a lot of areas. We'll see it in elections, where we're pivoting to voter guides and election education and away from horse race coverage and away from palace intrigue. Growth in video also will be a pretty major audience driver in local as well for the balance of the year as well as in years ahead. This year, USA Today's growth has been outperforming its competitive set, its national competitors. We're increasing, for example, our sports audience. And we're not only growing page views there, but we are improving engagement of that audience and our ability to monetize each audience member multiple times during their journey on our platform. March Madness is just a great example of this. We need significant changes to our organization and to our approach, so that we would be really well positioned for this season. And the result was that we more than doubled, more than doubled our sports audience compared with a year ago. All of that had a direct impact on revenue, right? So, larger sports audiences help, of course, to drive programmatic growth. You heard about that earlier. Also, though, nearly 80% lift in sponsorship revenue from Super Bowl and Ad Meter and Coaches Poll and March Madness. So, all of this expanding audience around sports is driving revenue also from partnership, as Mike mentioned. So, partnerships like Gambling.com. And we see a lot more opportunities to grow partnerships in this space, to capitalize on other verticals beyond sports. And just lifting up, I think this is what it means to be a content company. We certainly produce essential journalism. We also produce essential content that's helping all of our customers and our consumers to live a better life. So, we're bullish about the audience reach this year, and we're bullish about our ability to monetize it. I hope that helps, Mike. 
Giuliano Anderes-Bologna: One final one that's curious about picking your brain about, hopefully not too convoluted, but you're obviously involved in litigation with Google. There's a recent lawsuit that I don't think that you guys are part of from some other papers and content providers against OpenAI that was filed recently. And then there's also some potential changes on the legislation front. I'm kind of curious where things stand on the litigation side, from a progress perspective, and then also on the legislation side, if there's anything that could accelerate resolution there or create a framework for the industry to kind of move forward efficiently? 
Michael Reed: Yes. Sure. Sure. I'll start with the first question around the lawsuit we have. I don't want to say too much about it, but I would say 2 things, Giuliano. One, the DOJ case involving Google, which outlines many of the same allegations we have in our case, is scheduled to go to trial in September of this year, so just a few months away. The second thing I would say is we remain very, very confident in the case that we've laid out. Turning to the legislation front, the JCPA is something that we've been lobbying in Washington for with both the Congress and the Senate. In today's political environment, I think it's going to be pretty hard in 2024 to get something passed, especially with it being a big election year. But I do think, underneath the hood, we are making progress on JCPA legislation, and I think we'll have a much more active discussion with Congress and the Senate in 2025. And we're also seeing progress at the state level, and we saw a bipartisan legislation passed in California that's very similar to the JCPA, that's a great step, even though it's at the state level. It's a great step that we can get this legislation passed, which will lead to, fair compensation for the content we produce that, platforms are using for commercial purposes. So we're making very slow, but we are making progress on the legislative front with JCPA, and I think there's a lot more positivity to come in 2025. I was actually in Washington this weekend and talked to a few senators, governors, and Congress people throughout the day, and they're all, I think, I'm not hearing folks that are unsupportive of this legislation because they know copyright laws have been violated. So I'm optimistic. 
Giuliano Anderes-Bologna: That's great. I really appreciate, the answers, along with the questions there, and congrats on the quarter, and I will jump back in the queue. 
Operator: Your next question for today is from Jason Bazinet with Citi. 
Jason Bazinet: I just had a question on your digital subscriptions and the digital ARPU. If I went back a few years, the ARPUs were sort of, I don't know, in the $5-ish range, but you were adding sort of a lot of subs at that juncture, and now you've got a couple quarters where the ARPUs are sort of $7, but, not as much sub growth. My question is, what is the -- can you just unpack sort of the dynamics that were going on there? Was it a lot of promotions that have sort of rolled off, and what is the -- what are your expectations in the future in terms of ARPUs and digital subs? Thanks. 
Douglas E. Horne: So, I would say part of this reflects a lot of testing and learning in terms of the early volume growth. I mean, we were experimenting with a lot of different plans and price points, and really looking at the data in terms of retention and lifetime customer value. After all of kind of that testing and looking at the data, that's where we kind of pivoted a little bit last year to make sure we're focusing on those populations of subscribers that we believe, tend to have longer retention, higher lifetime value, as well as, come in, or I would say kind of level out at an overall higher price point than what we'd seen previously, which is why you're seeing that ARPU growth. And so, I think from a -- going forward perspective, we still feel like, based upon kind of industry studies we look at, that we're -- relatively under priced relative to competitors in kind of the same space. And so, we do believe we have opportunities to grow pricing going forward, as well as, all of the great work that Kristin, and team are doing, I think, is going to enable us also to grow volume. And so, both those things, I think, are really key elements to the overall revenue growth going forward. 
Operator: We have reached the end of the question-and-answer session, and I will now turn the call over to Mike Reed for closing remarks. 
Michael Reed: Thank you, and thanks, everybody, for joining us this morning. Before I give my closing summary here, I just wanted to mention to everybody that we did post a supplement online detailing our Q1 results and giving our outlook for the year. And, look, I do encourage everybody to take a look at the supplement. There is a lot of good information on the details of our performance in there. So, I do encourage you, when you have time, to flip through the pages in our supplement. Now, turning back to my closing, as you can tell, I'm proud of the strong performance we achieved in the first quarter. Our focus and dedication and that of the team here at Gannett has led to a high level of operational performance, and that's resulted in solid financial results. The strategic actions and plans that we started putting in place last year and talking to you about last year are now showing up in the financials and have resulted in a real momentum shift here at Gannett, which is showing up meaningfully in our Q1 results. And it puts us on track to transform this business into a growing digital media business. We believe our Q1 performance is an indicator of our ability to achieve our full-year commitments. It gives us more confidence with the results we achieved in the quarter. And we expect to exit the year with overall revenue growth to grow adjusted EBITDA and free cash flow this year and to create a sustainable growing business. Our optimism is really backed by a number of catalysts that we saw in Q1, and I'll run through a couple of those. Achieving meaningful improvement in our top-line trend gives us confidence that we will hit the inflection point as we exit 2024. Driving digital revenue growth of 8% in digital accounting for over 42% of total revenues, achieving new highs across digital-only subscription revenue, digital-only ARPUs, and seeing our DMS core platform revenue grow and our ARPU grow all give us great confidence that digital will continue to grow above the 10% guidance we've given for the year. We're generating year-over-year free cash flow growth, as well as sequential improvement in adjusted EBITDA trends, and we're continuing to grow our audience and engagement as evidenced by 187 million average monthly unique visitors and 8 consecutive months of at least 1 billion page views across our domestic properties. As you can see, our commitment to our strategy and most importantly to our readers and customers is unwavering. With these catalysts driving us forward, we are excited and confident about the opportunities that lie ahead, not just in 2024 but 2025 and beyond. The progress achieved during Q1 puts us right on track with where we want to be in terms of delivering our full-year objectives. And again, please visit our supplement if you have time. But thanks for your time today and we look forward to updating you again with our results at the end of the second quarter. Thank you. 
Operator: This concludes today's conference. And you may disconnect your lines at this time. Thank you for your participation.